Operator: Good morning, and welcome to the Iron Mountain Third Quarter 2023 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Gillian Tiltman, Senior Vice President and Head of Investor Relations. Please go ahead.
Gillian Tiltman: Thank you, Andrea. Good morning, and welcome to our third quarter 2023 earnings conference call. On today's call, we will refer to materials available on our Investor Relations website. We are joined here today by Bill Meaney, President and Chief Executive Officer; and Barry Hytinen, our Executive Vice President and Chief Financial Officer. After prepared remarks, we'll open up the lines for Q&A. Today's earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the safe harbor language on Slide 2 of our presentation and our quarterly report on Form 10-Q for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results, and we've included the reconciliations to these measures in our supplemental financial information. With that, I'll turn the call over to Bill.
William Meaney: Thank you, Gillian, and thank you all for taking the time to join us today to discuss another record quarterly results. Once again, our Mountaineers have gone above and beyond in their efforts to serve our customers with innovative solutions that support their businesses, putting our customers first runs deep in all we do and sits at the core of Iron Mountain. This legacy, combined with our dedication to not only protect but to elevate the power of our customers' assets and work continues to drive our execution and growth. Turning to our results. We delivered record third quarter performance once again achieving our highest ever quarterly revenue of $1.4 billion which to put that in context, is an increase of over $100 million year-over-year and record EBITDA of $500 million. The strength in these results is a direct result of the positive momentum we are building from Project Matterhorn. We are more than a year into our growth journey and are pleased with our enhanced operating model, which is empowering our commercial organization to cross-sell our products and services. In the third quarter, we delivered organic storage rental revenue growth of 10% as a result of continued revenue management success and improved volume trends and drove over 20% organic growth in our data center business. Let's begin by turning to some of our customer wins, which played a significant role in our ability to achieve these record results. In our records management business, we had a public sector win this quarter in the U.K. with a new contract worth nearly $2 million. This new project is with an important government agency and has been an Iron Mountain customer for 18 years. In that time, our relationship has expanded from an off-site records management provider to an integral partner at our customers highly secure site, which indicates the trust and confidence our customers have in us. By relocating and digitizing important records securely, our customer can make faster and more informed decisions that are critical due to the sensitive nature of its work, whilst also freeing up on-site space. As a public sector organization, the value for each dollar they spend is a key concern for this customer, and we continue to demonstrate that Iron Mountain is the partner of choice for their digital transformation journey. In Digital Solutions, this business continues to gain momentum, especially with our ability to provide higher value, technology-enabled solutions to new and existing Iron Mountain customers. Customer wins for our digital solutions are underpinned by three key differentiators. First, our unique ability to provide a unified end-to-end solution for our customers across their physical and digital assets. Second, our proven capabilities to operate at scale in complex regulated environments and industries. Last, but importantly, our ability to drive business outcomes for our customers, leveraging our artificial intelligence platform, which translates unstructured data into actionable insights. For example, we have been awarded a contract by the TV and film production distribution division of a major technology company, with a story history dating back almost 100 years, we are leveraging our InSight platform to digitize, archive and preserve over 200,000 legal records containing the media rights for distribution and licensing of thousands of film in titles and TV episodes. With all this data available through one cloud-based digital platform, we can help our customers identify and develop new business opportunities by leveraging its rich intellectual property. This latest deal builds on a growing portfolio of solutions we are providing for this global customers' different business units, including records management and IT asset disposition. The multifaceted long-standing relationship we have with this customer truly highlights the success of Project Matterhorn and our cross-selling efforts. Now let's turn to our continued success in winning government business around the world. We are supporting government agencies in Europe to digitize public services as part of an initiative to make their economies and societies more sustainable and resilient following the COVID-19 pandemic. This quarter, we won a two-year deal to digitize around 10 million files to accelerate a backlog of pension payments for one national government Social Security Administration agency. In awarding Iron Mountain this contract, the customer recognized the specialist nature of our solution, including our AI and human in the loop capabilities and our ability to quickly scale operationally to deliver this project within the required time frame. Also in the public sector, we are pleased to be working with the U.S. citizen and Immigration Services to help drive efficiency and reduce the backlog of applicants awaiting adjudication decisions to become U.S. citizens. Over the last 10 years, we have been a proud partner with this important government agency. Having been entrusted with over 500,000 cubic feet of files in high-density tapes, our digitization solutions will enable remote adjudicators to have faster access to vital data, helping them make overall immigration decisions. Turning to our asset life cycle management business. Consistent with the projections we shared last quarter, pricing has been stable, having hit a low level last February. Whilst industry projections are for significant price improvements in late 2023 and throughout 2024, we have continued to take a prudent perspective and are only assuming marginal incremental pricing improvement for the remainder of the year. Our pipeline is robust, and we have delivered solid results this quarter that were in line with our expectations. Also, we are excited to share that we have signed an agreement to acquire Regency Technologies subject to customary closing conditions as we continue our roll-up of the ALM market. Regency is a little over $100 million annual revenue business in the ALM space based in Ohio. The long-term customer relationships that Regency brings to Iron Mountain are an excellent strategic fit to our ALM business. Regency will add operational scale as we continue our growth journey in this fast-growing sector. As the world's need for both secure and more circular solutions for end-of-life IT assets becomes more vital, we are pleased to add to our capability in this category. With that, let us turn our discussion to some individual wins within the ALM space this quarter. I am pleased to share a particularly exciting win for our ALM business with a large global technology company. The deep relationship and trust we have built with this customer over many years was instrumental in Iron Mountain securing the significant deal serving multiple business lines and geographies for the customer. These geographies include India, where our presence and ability to service the customer was a decisive differentiator alongside our global footprint, the expertise and responsiveness of our ALM team and our reputation for data security and chain of custody. Also in ALM, we have signed a long-term contract with a private U.S. insurance company that has been a long-time customer of our U.S. Secure Shredding and Destruction services. Last year, we began supporting this customer with one-off IT asset destruction projects, which demonstrated the value of remarketing thousands of these assets. The agreement we have now reached positions us as our customers strategic partner for its future end-to-end IT asset management needs. By supporting the requirements of an organization with over 37,000 leased IT assets that need returning from remote employees, we are extending the value of the solutions we bring and have changed our customers' perception of what Iron Mountain can offer. Finally, we have a particularly exciting win to share. We have secured a significant five-year ALM contract to support a leading pharmaceutical retailer in the U.S. to advance its commitment to zero waste by 2030. Iron Mountain will provide a circular economy solution by removing and recycling thousands of tons of pharmaceutical stock bottles and pill bottles from thousands of its retail outlets across the U.S. We are providing this leading retailer with an advanced recycling solution turning plastic into raw materials. This will enable the creation of new virgin plastic, helping this retailer meet their environmental goals. This is made possible by the scale of our physical presence, our highly experienced ALM team and a reporting platform for all of the confidential weights that we have managed for this customer since 2014. We are pleased to be able to extend the value of our partnership with this new contract. Moving on to our data center business. Our pipeline continues to expand with positive pricing trends. The continuing strong demand for data center capacity, continues to be driven by digital transformation and most recently, the explosive demand for AI. Supporting the growth and expansion needs of our customers is paramount to our collaborative partnerships, and we are pleased to provide this required capacity to our customers in the markets in which they are keen to operate. From a leasing perspective, in the third quarter, we signed 65 megawatts. This means that through the end of the third quarter, we have already signed 120 megawatts far beyond our original projection, for the year of 80 megawatts. In the quarter, 60 megawatts were signed across two leases to a single Fortune 500 technology company at our campus in Northern Virginia. The deal provides this hyperscale customer with capacity across two buildings on our 142-acre, 276-megawatt campus and represents, the largest revenue deal in Iron Mountain data center's history. We have also won a deal to provide nearly three megawatts of capacity at our Frankfurt data center for an existing North American cloud services customer looking to expand their European footprint. Our sales teams work closely with the customers' technical team to agree on a strategic solution that meets the customers' unique infrastructure needs. Given the strong customer demand in our data center business, we are continuing to expand the reach of our platform. To that end, I am pleased to announce a couple of capacity additions. First, we are repurposing a previous records management facility in Miami to data center use. Miami is a key market, where a number of our customers, are looking for edge deployments and this newly repurposed facility will add 16 megawatts to our data center portfolio. Furthermore, we have acquired additional land and power this quarter, growing our total data center capacity to 860 megawatts, up 80 megawatts from last quarter. In summary, the hard work dedication and execution of our Mountaineers continues to deliver strong results for our loyal customers and ultimately, our company shareholders. Through our Matterhorn initiative fueled by our enhanced operating model, our team continues to achieve record sales growth by selling our entire mountain range of products and services to our long-standing 225,000 customers. Even in a tumultuous geopolitical climate, the resilience and strength of our business model, combined with the dedication and customer-first passion of our mountaineers continues to drive us ever higher. I would also like to express my deepest gratitude to our team for their hard work and continued focus as we continue our growth journey. With that, I'll turn the call over to Barry.
Barry Hytinen: Thanks, Bill, and thank you all for joining us to discuss our results today. In the third quarter, our team achieved strong performance across all metrics, including another record for revenue and EBITDA. Revenue grew to $1.4 billion, up 8% year-on-year on a reported basis and 7% on a constant currency basis, in line with our projection. Our key highlight in the quarter is our organic storage rental revenue, which grew 10%. This reflects continued strong contributions from revenue management, data center commencements and positive volume trends. Total service revenue was $530 million, consistent year-over-year on a constant currency basis and slightly improved on a sequential basis. As we discussed last quarter, service revenue includes the impact of component price declines versus the prior year. Excluding our ALM business, total company constant currency revenue growth would have been 9%. Our team delivered a new record for adjusted EBITDA at $500 million, up 7% year-on-year. This was modestly ahead of our guidance for the quarter despite the U.S. dollar strengthening significantly. On the same foreign exchange rates we used in August, we would have achieved $504 million of adjusted EBITDA in the third quarter ahead of our projection. EBITDA growth was driven by continued strength in revenue management and strong data center commencements. Adjusted EBITDA margin was 36%, up 100 basis points sequentially and ahead of our projections by 50 basis points. Upside was driven by productivity across our operations, including improving trends in our ALM business. AFFO was $290 million or $0.99 on a per share basis, up $2 million and $0.01 on a per share basis from the third quarter of last year. Both of these were in line with the projections we shared on our last call. On the same foreign exchange rates, we were using in August, AFFO would have been $294 million, or $1 on a per share basis, both ahead of our projections. And now turning to segment performance. In the third quarter, our global RIM business achieved revenue of $1.18 billion, an increase of $92 million year-on-year or 8%. Revenue management and positive volume trends, contribute to strong organic storage rental revenue growth of 8%. Global RIM adjusted EBITDA, was $517 million, an increase of $33 million year-on-year. Turning to our global data center business. The team delivered revenue of $128 million, an increase of over $27 million year-on-year. Organic storage rental revenue growth was strong at 22%, driven by commencements and improved pricing. Data center adjusted EBITDA was $53 million, up over $10 million or 25% year-on-year. Turning to new and expansion leasing. We signed 65 megawatts in the quarter, bringing total bookings year-to-date to 120 megawatts. As Bill mentioned, we signed two leases with a client for a total of 60 megawatts. The leases are expected to commence in phases from late 2024 through mid-2025 and have a 15-year term. With the strength of our leasing, I'll note that our weighted average lease expiration is now 8.1 years, which is up a full three years from the third quarter of 2022. As we've talked about before, one of the key elements of our Matterhorn growth plan is to expand cross-selling. Our team is doing a great job in this regard. For example, 95% of the megawatts booked in the quarter, were a result of cross-selling activity. Market-to-market was up over 11% in the quarter, reflecting the continuing trend of strong and improving pricing, while churn was only 1%. Turning to asset life cycle management. In the third quarter, revenue was consistent on a sequential basis, in line with the projections we gave on our last call. We are seeing positive momentum across all three verticals of our ALM business, hyperscale, enterprise and OEM. ALM bookings have been running ahead of our projections.  And similar to data center, our commercial teams are doing a great job with our cross-selling initiative. For example, of the new ALM deals we signed in the quarter, nearly all of them were cross-sell wins. I think this is an early validation of our strategy and supports our long-term view that we can gain considerable market share by leveraging our deep customer relationships and expanding ALM capabilities. Now, I would like to spend a moment addressing component pricing. As expected, pricing was consistent with the second quarter on a sequential basis. At this point, in the fourth quarter, there are indications that component pricing is beginning to recover. For example, since the end of the third quarter, we have seen the pricing for memory rising week over week with it now up nearly 15% on a sequential basis. As we've mentioned on our last call, industry analysts have been forecasting rising prices by late this year, with continued recovery in 2024. Turning to our pending acquisition of Regency Technologies. As Bill mentioned, we are very pleased to have signed this deal. We've known Regency for years and have always been impressed with the strength of their team, range of capabilities and focus on sustainability, productivity and customer service. We see this acquisition as an excellent strategic fit furthering our ability to serve our expanding ALM customer base. The purchase price is $200 million with $125 million to be paid at close and the remainder due in 2025. Subject to performance, there is also an earn-out, which could be payable in 2027. On a trailing four-quarter basis, Regency has revenue in excess of $100 million. We are acquiring the business at an approximate 7.5 times EBITDA multiple. We expect the deal to close late this year or early in 2024. We expect this will be immediately accretive to AFFO and have no impact on our leverage calculation. Turning to capital. In the third quarter, we invested $322 million, of which $287 million was growth and $35 million was recurring. Turning to the balance sheet. With strong EBITDA performance, we ended the quarter with net lease adjusted leverage of 5.1 times. We expect to exit 2023 at this level. I think it is worth noting that this marks our lowest leverage level in a decade. Our Board of Directors declared our quarterly dividend of $0.65 per share, to be paid in early January. We remain dedicated to our disciplined approach to capital allocation as we are funding our growth objectives while continuing to drive meaningful shareholder returns. And now turning to our projections. For the full year, reflecting our year-to-date performance and strong outlook, we are pleased to reiterate our full year guidance. For the fourth quarter, we expect revenue of approximately $1.44 billion, which represents 12.5% growth year-over-year as revenue management actions and improving trends in ALM accelerate our growth. I would like to call out using the same foreign exchange rates we had in August, fourth quarter revenue would have been $25 million higher in this projection. Adjusted EBITDA of approximately $520 million or 10% growth. AFFO of approximately $310 million, which is 8% growth and AFFO per share of approximately $1.05, which is 7% growth from the prior year. With the same FX rates we were using in August, this projection would be approximately adjusted EBITDA of $528 million, AFFO of $318 million and AFFO per share of $1.07. In conclusion, we are pleased to report another record quarter of results. Our team is executing well, driving considerable growth of revenue and EBITDA aligned with our Matterhorn plans. I would like to take the opportunity to thank our entire team for their efforts to support our customers and drive our growth. And with that, operator, will you please open the line for Q&A.
Operator: [Operator Instructions] And our first question comes from George Tong of Goldman Sachs. Please go ahead.
George Tong: Hi. Thanks. Good morning. Revenue management is continuing to drive healthy price realization in storage and services. Can you elaborate on, how you expect price actions to trend as inflation normalizes and discuss client sensitivity to pricing increases in the services business, compared to the storage business?
William Meaney: Yes. Thanks, George and good morning. So, I think that you can expect and you can see that through the course of the year, even as inflation has come off, is that we're continuing to be able to use revenue management across the board in our - especially in our records management business, and that's really based on how our customers value the services. So, we don't see any change in that trend. And in fact, in terms of customer retention, you've seen even a slight improvement in that during that period of time. So, just as the customers really understand the value that we're applying, and we're actually using revenue management to tap into that. So, we don't see any change in that trend.
Barry Hytinen: And George, it's Barry. Just to add on to that, I would say, as you think about the fourth quarter, we have revenue management actions that have been put in place in the third quarter that, will power another $20 million or $25 million of sequential growth even going forward here, in the fourth quarter. So that's part of the model, as you think about third quarter and fourth quarter.
Operator: The next question comes from Nate Crossett of BNP Paribas. Please go ahead.
Nate Crossett: Hi. Good morning. Just a question on organic service revenue growth. Commentary sounded pretty positive on component pricing. So do you expect that, that metric will be positive in 4Q? And then just on Regency. Maybe you can talk about how the organic growth has been for that business year-to-date? And then lastly, just your expectation of RIM volumes heading into 4Q and next year? Thank you.
William Meaney: Thanks, Nate. Let me answer the question on Regency and then Barry will take your other two points. So on Regency, you can imagine they went through probably a similar growth profile that we saw in ALM. And they also have kind of, I would say, hit the low point probably about four months ago. And since then, they're actually growing kind of mid-single digits over the last, say, two, three, four months. And that's - they probably recovered a little bit faster than our business, but that's where the complementary mix of the two businesses is there, both in terms of the customers that they serve, and they do a lot more on the downstream processing, than the business that we have at Iron Mountain that we've acquired through IT renews. So, it's a good complementary fit. But we also see that they've actually, over the last few months, been growing single digits. Obviously, the business will continue to ramp, hence the pricing across the board starts improving.
Barry Hytinen: Nate, hi it's Barry. Thanks for those questions. On volume, as you saw in the quarter, we continue to grow volume, both in global records as well as in the corporate and other. And as you know, because you cover the company for so long, our expectation over the horizon is for volume to continue to be consistent to slightly up year in and year out. So, we are pleased with the volume continuing to trend at or even a little bit, better actually than our projections. And we continue to see that, both in the quarter coming as well as into the New Year. So very good and positive trends on the volume side. As it relates to service revenue, yes, we do expect service revenue to be up year-on-year, as I've talked about before, the second quarter was the hardest comp for our ALM business, because in light of what was going on in the prior year, that's when revenue for ALM was about $83 million in total. In the third quarter of last year, it was $60 million. And it was $56 million in the fourth quarter. And this year, it's $42 million in the second quarter and in the third quarter. And as Bill and I mentioned in our prepared remarks, we expect our ALM business to be in the, let's say, low 50s. So that helps - with the standpoint of turning around the comp that, you'll see for the total company. The other thing is, just in light of project revenue. For example, in our digital and our global records services, we have incremental project revenue in the fourth quarter and some commencements, on some longer-term digital contracts occurring here in the fourth quarter, which will help our additional service revenue, and is favorable as it relates to the third quarter. As you know, some of that project revenue can be a little bit lumpy quarter-to-quarter. And that's one of the reasons, why we are bullish on the sequential improvement in total revenue in the fourth quarter. So you'll see a little bit of an acceleration, thanks to ALM getting better and easier comp as well as the trending. We - as Bill mentioned last thing, since you asked about component pricing, we've only factored in what I would call a marginal modest improvement in pricing. And certainly, we are pleased to see pricing on memory rising, as much as I mentioned in the prepared remarks, but it's - we and the whole industry have been through a lot there. So we'll kind of be prudent and watch it before baking in too much into our numbers. Thanks, Nate.
Operator: The next question comes from Jon Atkin of RBC Capital Markets. Please go ahead.
Jonathan Atkin: Thanks. I was wondering if you could maybe put a finer point on helping us think about the impact of pricing actions in the room segment versus volume, kind of what the relative impacts were. And then for the ALM segment, I think you I talked about trying to get to $900 million in 2026. Is that still a number to think about? Or given the M&A that you've done with Regency and just the organic growth, any different way to think about that target?
William Meaney: No. Thanks, Jon. So I'll - let me take the ALM and then I'll let Barry talk a little bit more about pricing and volume trends. So on the ALM side, yes, we haven't backed off from our multiyear target that we shared at Investor Day, a little over a year ago. We still see the $900 million as a reasonable target in terms of the business trends, because one thing that we have continued to see is incoming volume. So if you look both year-over-year and year-to-date and sequentially is we do see volume continuing to grow and to ramp. And as Barry said, that we've seen now pricing starting to come back, whilst it's early green shoots, but 15% improvement in memory pricing, which you probably recall from our call last time is the bulk of the components that we sell on is - it shows that we're moving in the right direction to get back towards the type of pricing that we saw couple of years ago. So, if you put that all together and now with the additional capabilities that we're getting from the Regency acquisition is that both - they do a lot more on the downstream processing, which quite frankly, will not only allow us to harvest more value from the products that we're recycling from our customers, but it will also allow us to kind of expand, improve or accelerate our expansion into the OEM channels that we mentioned before. So I think you put that all together is that we feel very good about the targets that we laid out at our Investor Day.
Barry Hytinen: And John, it's Barry. Thanks for the question on revenue management in the quarter within our global RIM business. I would tell you if you look at the storage rental revenue growth there on an organic constant currency basis was 8%, so it was quite strong. And volume was modestly positive as you would see in our disclosures. So the vast majority of that was revenue management, although as we've talked about the last few quarters, we are seeing some positive mix in terms of driving top line revenue growth as well. So majority of its revenue management, a little - some mix and some improving volume trends. And going forward, as I mentioned in one of the earlier comments, we will see relatively speaking, incremental revenue management actions driving the business fourth quarter versus third.
Operator: The next question comes from Shlomo Rosenbaum of Stifel. Please go ahead.
Shlomo Rosenbaum: Hi. Good morning. Thank you for taking my question. I really want to focus just a little bit more on the ALM business trajectory. Just - what are you seeing in terms of like volumes coming in? I understand that the pricing is still low, but recovering. But just absolute volumes, how is that doing? And then also just understanding the Regency acquisition, like you said that it's $100 million of TTM revenue, but obviously, it was in a downward slope similar to what you guys were seeing. Is there a run rate that you can provide to us that we can think about that in terms of how to model that thing? And then maybe just keep focusing on a little bit more, what they add to Iron Mountain? What do you mean in terms of the downstream processing? What exactly is it that they do that you do not do?
William Meaney: Okay. So, Shlomo, let me talk a little bit about the - what we see on the volume trends, and then I'll let Barry put it together in terms of how you should think about modeling that going forward in terms of the business. I'll also come and pick up your point about what exactly Regency ads. So in terms of the volume trends, if you look at the enterprise side of our business, is there, the synergies, and as Barry said in his remarks, almost 100% cross-selling in terms of our ALM business. Is there you see almost triple-digit year-on-year increases in terms of volume that we're getting from our enterprise customers. So in the enterprise segment, we're seeing a really, really good volume. If you look at the hyperscale, which is the part of the business, that we acquired through IT renewal is the one that's most been impacted by what we see on the pricing of the components, which, as we said, is now just starting to move back north in the right direction. Is there, we actually see year-on - if you put year-to-date volume trends of incoming equipment, is we actually see double-digit - strong double-digit growth year-on-year, year-to-date incoming volume. And so the thing that's been muting that incoming volume, quite frankly, has been the pricing, but the good news is the pricing has started to improve. And Barry can help you think through how do you think about putting those two together as we project going forward. The last thing coming to Regency. So I'm glad you picked up on that because I probably should be more explicit on that. So Regency, first of all, they are adding a couple of customers into the portfolio that, quite frankly, we didn't have both in government sector and retail, which I think is really interesting in terms - because a lot of the equipment gets recycled by people dropping off at their retailers. So I think that's a really good capability there. But more importantly, is they actually are able to recycle a lot of what I would call the things that can't be reused directly into IT equipment. So things like we mentioned the plastics for pharmaceutical retailer. They do a lot more of that than we have historically. And the other thing, the other aspect is over the last couple of calls, we mentioned how we had signed up OEM relationships where these are laptop tablet manufacturers that are looking for people when their equipment comes off lease and needs to be recycled is they come to us and other people to actually resell - to refurbish and resell those products. And Regency has much more capability than we do in that area. They built up not only more expertise in refurbishing tablets and laptops than we have, but they also have a very nice e-commerce platform and where they can actually resell those. So they will really accelerate those - accelerate the sales for those channels that we mentioned on the last couple of calls, signing up the OEM manufacturers. So I think their capability will be a nice complementary fit to the contracts that we had already signed.
Barry Hytinen: So Shlomo, it's Barry. I appreciate the question. Specifically, on how to model Regency, just as a reminder, we are expecting it to close kind of around year-end or early next year for when you want to add it to your model. We noted that it's in excess of $100 million of revenue, Shlomo, and I expect them to exit the year at that level in excess of $100 million, and we see the opportunity for it to be growing into the new year. But of course, we'll give guidance for next year on our next call. But we feel very good about the stability of the business that it's been generating revenue and EBITDA at the levels it's been for some time. And as Bill alluded to, it did not see the sort of trough that our ALM business did on the hyperscale side. It's much more of an enterprise IT asset disposition sort of player. And in that enterprise and government services that it does its - didn't see the level of trough that we did, and it's come back nicely. And so we feel very good about the stability of the business at this point and feel like we're getting a very good, very synergistic deal as Bill mentioned, they have a fair bit of incremental capacity. And so we can get synergy off of bringing Iron Mountain Enterprise clients to Regency for service going forward. I would say - I'll just note that you can work through the math on this that it's sort of in the low mid-20s of an EBITDA margin business. We think that, that has opportunity to expand as relative pricing in the broader market expands and through incremental capacity utilization of the footprint of what they have there. We've been very impressed with the team at Regency for a long time. They've built a very good business with critically important relationships to clients. And we've got a very strong focus on sustainability. So we feel very good about Regency. And as I zoom out to broader ALM, Shlomo, I would say, just to reiterate a point Bill made, the volume is clearly kind of doing well. We are seeing incremental bookings, as I mentioned in our prepared remarks, particularly on the enterprise side, on teams having good wins on the hyperscale side as well. And our OEM relationships continue to extend. That's an area that was a focus - has been a focus for us this year. We signed some very important relationships in that area of the market. Of course, it has - the nature of those relationships is that they take a little longer to get to revenue generating, but we are well on our way in the OEM vertical as well. So I appreciate the comment, Shlomo.
Operator: The next question comes from Eric Luebchow of Wells Fargo. Please go ahead.
Eric Luebchow: Hi. Thanks for taking the question. So Barry, I just wanted to touch on the balance sheet, obviously, a big move in interest rates recently. So I just wanted to touch on your deployment of CapEx and the sources and uses of capital. It does look like data center CapEx, as you've mentioned before, maybe you could touch on the trajectory there, that's probably going to continue to lift higher based on the leasing you've done year-to-date. And then maybe you could talk about your kind of achieve development yields on data center deals. It looks like those continue to move higher and how comfortable you are in terms of the excess returns you're getting over your current cost of capital for what's in your data center pipeline? Thank you.
William Meaney: So Eric, I'll take the - I'll talk about the yields that we're getting it. And then Barry can talk about the balance sheet impact and how we're thinking about financing it going forward. So I think on the yields, as you probably - were kind of foreshadowing in the nature of your question. We have seen yields moved up and in Barry's prepared remarks and I think also in mind. I talked about the price improvement or the strength of pricing around data center as demand continues to ramp. So historically, if you think about the journey that you've watched us on, Eric, is a few years ago, we would have said, hyperscale or kind of 7 to 8. I think on the most recent calls, we said hyperscale. These are cash-on-cash returns have been 8 to 9. And now you can expect that they are 9 plus. So we're - and these are all pre-leverage, cash-on-cash returns. So the returns are even with the ramp in the cost to build - well, the cost of build is obviously built in, but in terms of the cost of financing is well ahead after you put the data center together and lease it up is well ahead of our cost of capital. So we feel really good about the returns we're getting even in the higher interest rate environment.
Barry Hytinen: Hey, Eric, it's Barry. A couple of things there. We would expect CapEx for the whole company to be probably right around $1.3 billion for the year. That's up some from our prior view because, as you point out, the team continues to do very, very well on data center, and we have a lot of construction to do to service the contracts that the team has signed. It's an interesting point about our business within data center, and we're operating now 225 megawatts, which is nearly all leased. And then we're under construction on another 260 megawatts, of which again, like 90% plus, 93% of it is pre-leased. So we are really constructing to contract as opposed to spec. And so it is a situation where you will see us continue to be gradually rising the data center CapEx as we work to build into the contracts that we've signed. And I think it's - read it to the team and the customer wins that we've been having that we've been able to extend our lease expirations to eight plus years on the backs of higher pricing and those returns improving. So it's - we are feeling very good about where we're positioned with data center and the growth thereof, Eric. You're going to see a lot of growth going forward as we build into those leases. Thanks.
Operator: [Operator Instructions] And our next question comes from Brendan Lynch of Barclays. Please go ahead.
Brendan Lynch: Good morning. Thanks for taking my question. I wanted to dig in on the opportunity in Miami to convert storage facility to a data center. One, are you fully scrapping the existing facility and just using the land? Or are you actually using the existing infrastructure? And what do you see as the other opportunities throughout your portfolio to convert other facilities for data center purposes?
William Meaney: Good morning, Brendan. Thanks for the question. So the - yes, so in Miami, you probably can imagine, yes, we are actually scrapping the building. So we're reusing the land in that particular case because it's the way that we could get the most data center capacity into that facility, otherwise we would have been leaving much opportunity on the table. So it's a better use or a better way of actually tapping into that market. But it still gives us kind of - if you look at an all-in basis, probably a 15% reduction in cost to build. And obviously, the speed at which we can enter the market is much faster because trying to find the right location of land in Miami and secure the power can be challenging. So we think both in terms of speed and then 15% cost improvement, which is significant, is really important. And if you look more broadly of the 90 million square feet of industrial real estate that we have around the globe that's associated with our records management business is - think about that's probably in the order of 15% to 20% of the properties are under evaluation on any given day as we look at it. So we're constantly screening about 15% to 20% of our locations and looking at what customers' requirements are and in some cases, having discussions with customers and thinking about which of those sites might be next. And these are generally fit in very nicely for what I call these kind of edge deployments or secondary cities like Miami, right? So this won't be the last one that we - the first and the last. This will be the first of many, we feel as we continue to go forward.
Operator: This concludes our question-and-answer session and the Iron Mountain third quarter 2023 earnings conference call. Thank you for attending today's presentation and you may now disconnect.